Operator: Welcome to The Hackett Group Fourth Quarter Earnings Conference Call. Your lines have been placed on a listen-only mode until the question-and-answer session. Please be advised the conference is being recorded.  Hosting tonight's call are Mr. Ted Fernandez, Chairman and CEO; and Mr. Rob Ramirez, Chief Financial Officer. Mr. Ramirez, you may begin.
Robert Ramirez: Good afternoon, everyone, and thank you for joining us to discuss The Hackett Group's fourth quarter results. Speaking on the call today and here to answer your questions are Ted Fernandez, Chairman and CEO of The Hackett Group; and myself, Robert Ramirez, Chief Financial Officer. A press announcement was released over the wires at 4:05 p.m. Eastern Time. For a copy of the release, please visit our website at www.thehackettgroup.com. We will also place any additional financial or statistical data discussed on this call that is not contained in the release on the Investor Relations page of our website. Before we begin, I would like to remind you that in the following comments and in the question-and-answer session, we will be making statements about expected future results, which may be forward-looking statements for the purposes of the federal securities laws. These statements relate to our current expectations, estimates and projections and are not a guarantee of future performance. They involve risks, uncertainties and assumptions that are difficult to predict and which may not be accurate, especially in light of COVID-19. Actual results may vary. These forward-looking statements should be considered only in conjunction with the detailed information, particularly the risk factors that are contained in our SEC filings. At this point, I would like to turn it back over to Ted.
Ted Fernandez: Thank you, Rob, and welcome, everyone, to our fourth quarter earnings call. As we normally do, I will open the call with some overview comments on the quarter, I will then turn it back over to Rob to comment on detailed operating results, cash flow as well as comment on outlook. We will then review our market and strategy related comments. After such, we will open it up to Q&A. I would like to start by continuing to acknowledge those dedicated individuals who continue to work nonstop and under very dangerous circumstances to support all of us during this pandemic. I also want to acknowledge our associates and clients that quickly and successfully adapted to the remote delivery requirements around the globe. This quarter is about progress, momentum and how eagerly we look -- we're looking forward to 2021. Let me first start with our quarterly results. Since the end of Q2, we have experienced increased activity through the end of the year, and we experienced it through the end of the year. I am pleased to announce today that our quarterly results exceeded our expectations. This afternoon, we reported net revenues of $59.2 million and pro forma earnings per share of $0.23, which was up 35% sequentially. Net revenues were up 2.5% sequentially on lower available days. But as I said, pro forma EPS was up strongly from our COVID disrupted Q3 results of the prior year and only $0.01 below the profitability in Q4 of last year, which obviously was not COVID impacted. U.S. sequential revenue growth was led by the continued bounce back of our strategy and Business Transformation Group and the double-digit year-over-year growth of our SAP, Oracle ERP and OneStream practices. The pandemic has accelerated the deployment of digital technologies to support cloud enablement transformation, which has resulted in the growth in these practices. We are further encouraged that Q4 sales in the U.S. were ahead of prior year's sales for the first time in 12 months.  On the international front, Europe was sequentially stable, which, for us, that's very good news. The investments we have made to fully digitize all of our IP and the development of our IP-as-a-service platforms, which include Quantum Leap, our state-of-the-art global benchmarking platform as well as our proprietary Hackett Digital Transformation platform, or DTP are highly differentiating our offerings and will continue to be important drivers of our growth for many years to come. Additionally, our partnerships with rapidly growing eProcurement, infrastructure and cloud analytics and other cloud and other workflow automation providers will also continue to be key to our digital transformation strategy as well as important future drivers of our growth. On the balance sheet side, our ability to generate strong cash flow from operations has allowed us to continue our dividend, buy back stock and fund acquisitions we identify while continuing to invest in our business. It is important to reiterate how important it was to start the year with such a strong cash position and no outstanding debt, which has provided us with the ability to properly manage the demand disruption that we faced. With that said, let me ask Rob to provide details on our operating results, cash flow and also comment on outlook. I will make additional comments on strategy and market conditions following Rob's comments. Rob?
Robert Ramirez: Thank you, Ted. As I typically do, I'll cover the following topics during this portion of the call. I'll cover an overview of our 2020 fourth quarter results along with an overview of related key operating statistics. I'll cover an overview of our cash liquidity during the quarter, and I will then conclude with a discussion on our financial outlook for the first quarter of fiscal 2021. For purposes of this call, I will comment separately regarding the financial results of our Strategy and Business Transformation Group for S&BT, our EPM, ERP and Analytics Solutions Group or EEA, our International Group and the total company. Our S&BT Group includes the results of our North America IP-as-a-service offerings, our executive advisory programs and benchmarking services and our business transformation practices. Our EEA Solutions Group includes the results of our North America Oracle, SAP solutions and OneStream practices. Our International Group includes the results of our S&BT and EEA resources that are based primarily in Europe.  In addition, please note that all references to net revenues represent revenues excluding reimbursable expenses. Reimbursable expenses are primarily project travel-related expenses pass-through to our clients and have no associated impact to our margin or profitability. Given the limited amount of business travel due to the pandemic, we encourage investors to focus on net revenues to assess revenue and growth trends. During our call today, we will reference certain non-GAAP financial measures, which we believe provides useful information to investors. We included reconciliations of GAAP to non-GAAP financial measures in our press release filed earlier today. Additionally, my comments today are based on results from continuing operations. As Ted mentioned, we continued to see an increase in client engagement throughout the quarter, which resulted in a sequential increase in net revenues of 2.5% to $59.2 million and a 7% decrease when compared to the prior year, which was above the high end of our revenue guidance range. The Q4 2020 reimbursable expense ratio on net revenues was 0.1% as compared to 8.4% in the prior year. Net revenues and reimbursable expenses were both affected from the economic disruption of the COVID-19 pandemic as we transition to a remote service delivery model throughout the U.S. and Europe. Net revenues of our S&BT Group were $23.4 million, a sequential increase of 5% and a decrease of 12% when compared to the same period in the prior year, reflecting the improving demand for enterprise transformation initiatives. Net revenues for our EEA Solutions Group were $30.1 million, an increase of 1% on both the sequential and a year-over-year basis. This was driven by growth from our SAP, OneStream and Oracle ERP practices offset by declines in our Oracle EPM practice, again, reflecting the broad demand for cloud enterprise applications. Our U.S. operations, which currently represents 90% of our total company net revenues for the fourth quarter were up 3% on a sequential basis and down 5% when compared to the pre-COVID fourth quarter of the prior year. More importantly, we now believe that we have an opportunity to be flat in the U.S. when compared with the pre-COVID first quarter of 2020, which reflects the continued improvement in client engagement and demand. Net revenues for our International Group were $5.8 million, a decrease of 1% sequentially and a decrease of 22.3% on a year-over-year basis as expected. Total company international net revenues accounted for 10% of total company net revenues as compared to 10% in the prior quarter and 12% in the fourth quarter of the prior year. Our recurring revenues which include our executive advisory, IP-as-a-service and AMS groups, accounted for approximately 22% of our total company net revenues and approximately 32% of our total company pretax practice contribution in the quarter. Total company pro forma cost of sales, excluding reimbursable expenses, totaled $36.8 million or 62.1% of net revenues in the fourth quarter of 2020 as compared to $37.8 million or 65.4% of net revenues in the prior quarter and $38.6 million or 60.6% of net revenues in the previous year. Total company consultant headcount was 928 at the end of the fourth quarter of 2020 as compared to total company headcount of 923 in the previous quarter and 982 at the end of the fourth quarter of 2019. The year-over-year decrease was primarily as a result of the actions taken in the second quarter of 2020 to reduce our global workforce by approximately 10% in response to the ongoing disruption from the pandemic. Total company pro forma gross margin on net revenues was 37.9%, up sequentially from 34.6% and down as compared to the prior year of 39.4%, primarily driven by the comparison to pre-COVID-19 revenue levels. S&BT gross margins on net revenues was 44.8%, up sequentially from 42.4% and down as compared to the prior year of 48.9%. The year-over-year margin decrease was primarily driven again by the comparison to pre-COVID revenue levels. EEA gross margins on net revenues was 31.7%, up sequentially from 27.5% and down as compared to the prior year of 33.2% as we continue to see improved demand, resulting in improved utilization when compared to pre-COVID levels. International gross margins on net revenues was 42.7%, up sequentially from 40.7% and up as compared to prior year of 30.2%. The margin increase is primarily driven by the staff reduction actions taken over the last year. Pro forma SG&A was $12.5 million or 21.2% of net revenues in the fourth quarter as compared to $12.7 million or 22% of net revenues in the prior quarter and $14.8 million or 23.2% of net revenues in the previous year. The year-over-year absolute dollar increase of $2.2 million was primarily due to decreased travel-related selling and marketing activities due to the move to virtual sales and delivery models resulting from the pandemic. Pro forma EBITDA was $10.8 million or 18.3% of net revenues in the fourth quarter as compared to $8.2 million or 14.1% of net revenues in the prior quarter and $11.2 million or 17.6% from net revenues in the previous year. Total company pro forma net income for the fourth quarter of 2020 totaled $7.4 million or $0.23 per diluted share, which represents a sequential increase of 35% in pro forma diluted earnings per share and is above the high end of our earnings guidance range. This compares to pro forma net income of $7.7 million or $0.24 per diluted share in the fourth quarter of 2019. GAAP diluted earnings per share was $0.03 for the fourth quarter of 2020 and as compared to earnings per share of $0.07 in the fourth quarter of the previous year. GAAP results for the fourth quarter of 2020 included a $5.5 million or $0.12 restructuring and asset impairment charge, primarily resulting from the reduction in office space as we have transitioned to a remote operating model. The transition resulted in the impairment of operating lease right-of-use assets property, equipment and leasehold improvements and other real estate-related costs. GAAP results for the fourth quarter of 2019 included a $4.5 million or $0.12 restructuring and asset impairment charge, primarily related to severance costs for the reduction of staff taken in Europe and Australia in the prior year. The company's cash balances were $49.5 million at the end of the fourth quarter of 2020 as compared to $43.2 million at the end of the previous quarter. Net cash provided by operating activities in the quarter was $12.9 million, which was primarily driven by net income adjusted for non-cash items and decreases in net account receivable. Our DSO or day sales outstanding at the end of the quarter was 54 days as compared to 57 days at the end of the previous quarter. Given our strong cash balances, the company's $45 million credit facility remained unused during the fourth quarter. During the quarter, we repurchased 40,000 shares of the company's stock for an average cost of $11.96 per share or at a total cost of approximately $483,000, including purchases from employees to satisfy income tax withholding triggered by the vesting of restricted shares. Our remaining stock repurchase authorization at the end of the fourth quarter was $4.3 million. In November 2020, the Board declared a quarterly dividend of $0.095 per share, which was paid in December 2020, making this the second dividend that was funded, paid made in the fourth quarter. At its most recent meeting, the company's Board of Directors authorized a 5% increase in its annual dividend from $0.38 to $0.40 per share to be paid quarterly and also declared the first quarterly dividend of $0.10 per share for its shareholders of record on March 26, 2021 to be paid on April 8, 2021. I will move now to our guidance for the first quarter of 2021. Before I do so, I would like to remind you, remind everyone of the seasonality of our business relative to costs as we move sequentially from Q4 to Q1. Specifically, consistent with first quarter guidance provided in previous years, our first quarter guidance of 2021 will reflect the sequential increase in U.S. payroll-related taxes and the sequential buildup of vacation accruals. As Ted mentioned in his comments, although economic uncertainty from the pandemic continues to be high, the company's current estimates suggest that net revenues for the first quarter of 2021 and will be in the range of $61 million to $63 million. We expect sequential revenues for S&BT and EEA to be up and Europe to be down. As I previously mentioned, we expect U.S. revenues to be flat and international revenues to be down when compared on a year-over-year basis. We estimate pro forma diluted earnings per share in the first quarter of 2021 to be up sequentially and in the range of $0.24 to $0.26, which would be flat to up when compared to pre-COVID first quarter of 2020. We expect pro forma gross margins on net revenues to be approximately 37% to 38%. We expect pro forma SG&A and interest expense for the first quarter to be approximately $12 million. We expect first quarter pro forma EBITDA on net revenues to be in the range of approximately 19% to 20%. We expect cash balances, excluding the impact of share buyback activity to be tempered due to the payment of 2020 performance-related bonuses and the payment of employee income tax withholding triggered by net vesting of restricted shares. At this point, I would like to turn it back over to Ted to review our market outlook and strategic priorities for the coming months.
Ted Fernandez: Thank you, Rob. As we look forward, let me share our thoughts on the short-term and long-term demand environment, and on the growth opportunity it offers our organization. It goes without saying that the pandemic created an unprecedented period where demand disruption necessitated to ensure our safety has required extreme measures, but it is now clear, clearly evident that the digital transformation era has also been rapidly accelerated by the pandemic, which will further improve what we believe are the long-term prospects for our business. This means that digital innovation and emerging enterprise cloud applications, analytics and infrastructure, workflow automation, process mining and artificial intelligence that are dramatically influencing the way businesses compete and deliver their services. Digital transformation is redefining all activities at an accelerated pace, forcing organizations to fundamentally change and adopt these new capabilities in order to remain competitive. On the demand side, the short-term environment continues to improve as our clients now understand they must continue to transform and that the virus will continue to disrupt our lives until the vaccine and herd immunity is able to protect all of us. This means all organizations must adapt to this next normal while we sort through the changes, which will result from the pandemic. Broadly speaking, we believe the acceleration means demand improvement, and on the expense side, the virtual delivery and sales model reduces our overall delivery cost, both should benefit future results. Specifically, the increasing momentum we experienced in Q4 is continuing into the new year as our clients and our sales and service delivery model acclimate to this next normal market requirement. This should position us well in 2021 and should allow us to return to pre-pandemic levels of target growth and profitability. Additionally, we continue to see an increase in interest from potential partners that desire to license our IP and brand permission to our Quantum Leap and digital transformation platforms to bolster their business case development and value selling efforts. We have over 10 opportunities with more than half of them now with formal proposals, near-term pilots launching or in contract discussions. Strategically, our focus will remain the same, which is to continue to build our brand with our new offerings and capabilities focused on digital transformation around our fully digitized and unmatched IP, benchmarking and best practice intellectual capital platforms. This should allow us to serve our clients strategically, increasingly remotely and whenever possible, continuously. Specifically, we continue to redefine our global benchmarking leadership through enhancements in Quantum Leap, our digital benchmark Software as a service solution. This platform allows us to deliver more information with significantly less client effort. It also allows our clients to leverage our IP and track transformation initiatives over the life of their respective effort. We believe there is no comparable platform in the market. As I have previously mentioned, we have been experiencing increased interest from potential strategic partners in leveraging our platforms and IP. We also continue to refine and improve our digital transformation platform to further differentiate our unique IP and related solution design capabilities. DTP allowed us to fully digitize our IP and align proven software configuration and organizational solutions to help clients drive transformational change. DTP is a core asset of our path digital transformation and cloud applications implementation offerings. As I mentioned on our last call, we have added a 20-minute demo to our Investor Relations page on our website so that investors can become more familiar with the capabilities of both of these market-leading platforms. Lastly, even though we believe we have the client base and the offerings to grow our business, we continue to actively look for acquisitions and continue to actively pursue these strategic alliance that will leverage our IP at scope and scale and capability which can then accelerate our growth. In summary, we continue to believe we are well positioned to resume our growth as the demand disruption subsides. We're also encouraged to see the power of our brand and the focus of our offerings along with our sound financial position allow us to positively address the most challenging economic events such as the ones we have faced almost this entire year. This validates our focus and the investments we are making. As always, let me close by thanking our associates by asking them to remain safe for their tireless efforts and always urge them to stay highly focused on our clients and our people regardless of the short-term challenges we encounter. I think it's really easy to look at our overall results and see that we're down obviously meaningfully on a year-over-year basis and just ignore the fact that it has taken an extraordinary effort from the entire organization to really maintain and transition the organizationally as flawlessly as I believe we have and allowed us to exit the year with such momentum as well as such a terrific balance sheet and also look at the cash flow generation capabilities of the organization, even through these most difficult times. Those conclude my comments, let me turn it over to our operator, and let's move into the Q&A section of our call. Operator?
Operator: [Operator Instructions] The first question in the queue is from George Sutton with Craig-Hallum.
George Sutton: Nice results. Ted, you talked about, on 1 side, acceleration going into the year due to demand improvement. On the other hand, you talked about your sales model being more efficient in this new environment. Can you put a little bit more meat on both of those components?
Ted Fernandez: Well, there is simply no doubt that pandemic has forced all organizations to really explore how well they're really leveraging all digital transformation technology. And that just -- that in and by itself took what was already meaningful demand coming into 2020 and further accelerate it. So that means that the need for clients to consider changes and to engage organizations like ours, are only going to increase. I also said, George, that we still have disruption in the system, right? Because of the natural concerns for the vaccine and the safety concerns that we have for all of our associates and all of our -- and also inside of all of our communities. So just consider the fact that, in my mind, we're saying, look, this has only created further acceleration, and that's why I think that's what's driving this, if you want to call it, economic activity, including stock market activity, even while the environment is still facing some of the headwinds because we're still shut down. I'm in an office today where we normally have 35, 40 people. There are 4 or 5 of us here, and this building is relatively empty. I don't believe that will be what will be -- what will happen in the balance of 2021. But within that same construct, the client engagement, the discussions, their desire to understand what they're going to have to consider, how they're going to be able to transform to take advantage of emerging technology, it's just continuing to increase.  Then on the flip side, you then take, like we said, the sales and delivery model moving to remote virtual capabilities, you would think and we did, I mean, people always ask me, what's your -- what's the most significant price of 2020. And to me, it's how well everyone, not our organization, but everyone has dealt with the work-from-home and some of the constraints that we've all faced, both in our personal and professional lives. Well, when you consider that consulting and the deployment of technology, has this element of close interaction with the client. In many cases, some of the solutioning happening face-to-face with clients and in some cases, senior executive. And for us to see that, that activity, even though in a disrupted state continues at such a significant level is pretty ensuring about what the opportunity lies ahead. With that said, even with that demand improvement also comes the fact that you are -- that clients will normally spend somewhere between 8% and 15% on travel and other expenses when we were carrying out engagement that those expenses today are down to a fraction of 1%, which is almost incredible to kind of wrap your head around and also see that we continue to serve and engage the client. And that means that everyone's become much more comfortable in engaging meeting, considering, executing work and doing it virtually. And that brings -- that has 2 sides to this. Demand on the digital side is going to continue to -- is going to continue an accelerated pace. And then the delivery of the solutions, if it continues to be as virtual it is today, has significant operating benefits to our operating model as well. So I would also take -- I would also make one other point, George, which is when you're a business like ours that leverages IP and insights so strongly, it's not always how many people were deployed, but how great our ideas are, which happened to come from this very unique benchmarking capability. It just feels like we're larger, and our size doesn't seem as relevant in this kind of virtual and shutdown environment. So I would add that it was almost as a third consideration of the things we're experiencing and how they will, I think, will favorably affect our business as we go forward.
George Sutton: So Barron's had a wonderful article on Oracle, talking about how they're making the shift very effectively to the cloud. You're obviously very well aligned with Oracle. I wondered if you could talk about the progress that you're seeing in terms of that specific relationship? And then any other thoughts on other partners, folks like SAPs and Coupas and OneStreams?
Ted Fernandez: Well, I mean, that Oracle article has kind of 2 elements to it. And that's really how they're trying to more aggressively compete with the cloud infrastructure providers, which today are AWS, Microsoft Azure, Google, HyVM with their hybrid offering and Oracle. So talking about the fact that they believe that, that's a big marketplace and that they expect to participate and compete more aggressively in it. When you then move that -- and that's how the apps are then supported and how they're efficiently deployed and maintained after they're actually configured for a client, for us. When you look at the fact that we're -- today, our pipeline is 95% cloud, so the level of work that we're doing on on-prem related engagements is now continuing to shrink. That means that the transition for the company is significant, the transition for us, what it means to us is that we get a chance to leverage and take this new cloud application offering that we take to market and help clients, many of which have yet to migrate from their on-premise environment and applications to a full cloud environment. To us, I think that's positive. Obviously, you're seeing it in the NASDAQ activity, but as well as tech companies like Oracle that are actively competing in these very hot spaces. So bodes well for Oracle, it should bode well for us as well, George.
Operator: [Operator Instructions]. Next question in the queue is from Jeff Martin with ROTH Capital Partners.
Jeff Martin: A question for Rob, I guess, or Ted, you can comment on it as well. But relative to your guidance for Q4, you beat the high end of it by a couple of million. Wondering if there were any specific drivers of that, things came in better-than-expected, trends developing more quickly than you thought? Some insight there would be helpful.
Ted Fernandez: Well, George -- I mean, Jeff, the principal activity was the strength of some of our application groups. The SAP Group, the S/4 HANA cloud product for us, especially in the healthcare market that we focus in, has been very, very, strong. So that group clearly outperformed. But as I mentioned in my opening comments, the Oracle ERP portion of -- Oracle also outperformed. Our OneStream Group continued to distinguish ourselves again with aggressive growth, obviously, on much smaller numbers, but also. So it was that along with then transformation enabled activity which was also in my comments. So it's technology pulling these transformation initiatives. And so we were seeing it both on the EE side of the business, and it also helped out the strategy and business transformation side of the business.
Jeff Martin: Okay. And then wanted to get some insight on the digital transformation acceleration, essentially a lot of spend being pulled forward. How does that flow through to Hackett? Is there a long lead time with that? Do you expect that to eventually bring the business in and of itself back to organic growth relative to kind of the levels you were doing in 2019, the comparisons, obviously, in Q2, Q3 of last year, not all that relevant?
Ted Fernandez: The greatest acceleration, Jeff, as you know, happened from the work from home and virtual, if you want to call it, increases that were immediately necessary to continue to conduct business. So you saw the infrastructure-as-a-service companies like AWS, Microsoft, Oracle and others benefit from that activity. You saw that also in anything that dealt with the execution side. So the Zooms and Teams products explode throughout the use. And then you then saw that then follow into the application environment. But if you said what was pulled forward in my mind, what was pulled forward was the infrastructure side of the business that what actually had to be put in place to facilitate the virtual operations of all of these businesses, which was necessitated basically within weeks. I don't believe that on the application side, there was much pull forward. I do believe, though, that it should follow. It should follow the significant investments in infrastructure should be followed by the enterprise app space continuing to be, I'll call it, not only strong, but improving. Because I still think that the work from home and some of the things and some of the distractions it creates did prevent some of that natural activity to happen. So I do believe that the pull forward was infrastructure related, I believe, on the enterprise apps and on the organizational change related, which is more core to our business. There wasn't pull forward. I would say that there was some disruption, but that you should see that accelerated activity now follow in '21 as the pandemic subside.
Jeff Martin: Okay. Great. And then last question, I didn't catch it if you gave it, but did you give an Oracle Cloud growth number for the quarter? And then could you also comment on average deal size and maybe average deal size within the pipeline?
Ted Fernandez: We did not comment on the Oracle Cloud growth. We did say that the Oracle ERP side was up strongly, but our EPM side was down. We now have a mix of ERP to EPM on that Oracle side probably to be 55 to 60 versus 40 to 45 ERP. So you're seeing -- what we're seeing in Oracle is that the Oracle multi-tenant deals is what's driving it. The lead driver of Oracle's pull-through is ERP. We still have a desire to expand that capability, as you know, into the East Coast. And we're looking and considering several options that we believe will be available to us in 2021.
Jeff Martin: Okay. And then what about comment on average deal size?
Ted Fernandez: Oh, I don't -- do you have something, Rob on? 
Robert Ramirez : It depends on this particular...
Ted Fernandez : Yes, I'm going to say that there wasn't any meaningful change. I mean, we have seen -- the deals we were seeing -- we're clearly doing larger multi-tenant deals. So if we look at it in total by client, yes, we have some large clients pulling through ERP, EPM, HCM deals, those deals are clearly larger than we were experiencing a year ago when we were going to market more kind of ERP, EPM, HCM kind of separate. We're seeing that that multi-tenant deal pull deals through and increase the deal size. I don't have a list in front of me, but I can give you that at another.
Operator: Next question is from Vincent Colicchio with Barrington Research.
Vincent Colicchio: I know your Oracle backlog was run down pretty much. You are in the process of rebuilding that Ted. You had a decent Oracle quarter. Where we stand now at the end of the quarter?
Ted Fernandez: Significant pipeline activity. And as I just told Jeff, with ERP continuing to take the lion's share now and EPM still underperforming. So we have ERP overperforming, EPM underperforming because the standalone EPM deals that we would traditionally have simply aren't there, you're just seeing the combination of deals being together. So our success becomes increasingly dependent on broadening out our ERP capability.
Vincent Colicchio: And then the U.S. outlook is flat for Q1. Curious if you could give us some differentiation between SBT and EEA?
Ted Fernandez: Rob, why don't you...?
Robert Ramirez: We said that S&BT...
Ted Fernandez: They're both expected to be up.
Robert Ramirez: Internationally, yes.
Ted Fernandez: And that allows -- that will allow -- well, that would allow us to be flat. And therefore, we're flat, and our service delivery model is more efficiently, then that's what provides the opportunity for us to exceed last year's results in Q1.
Vincent Colicchio: I'm sorry. So they're both expected to be up, you said?
Ted Fernandez: Both expected to be up with Europe down. 
Robert Ramirez : Correct. 
Ted Fernandez : With international down, which is primarily Europe.
Vincent Colicchio: And then, Ted, I'm curious what gives you the confidence that the business improves as we move throughout the year? Is it conversations with -- tone of conversations, types of conversations and the pipeline that you're seeing of opportunity in front of you?
Ted Fernandez: Yes, client activity, which is pipeline as well as just a number of conversations and the way clients are engaging in a broader sense. Even some of the industries that have been hardest hit are reengaging, that to me is a very positive sign. So it's really just activity that we're experiencing along with a more efficient delivery model. Both of those things really allowed us to -- allow us to think 2021's prospects are that we could return to long-term growth and profitability, long-term targets, as I mentioned in my opening comments.
Vincent Colicchio: So the overall spend was broader this quarter. Would you say that was in both SBT and EEA?
Ted Fernandez: Yes. Absolutely. The -- when we said the total activity in the U.S. was up versus a year ago, and that's the first time in 12 months, that was across both groups, yes.
Operator: At this time, I show no further questions. I'll now turn the call back over to Mr. Fernandez.
Ted Fernandez: Thank you, operator. Let me thank everyone for participating in our fourth quarter earnings call and look forward to updating you again when we report the first quarter.
Operator: This concludes today's call. Thank you for your participation. You may disconnect at this time.